Sinead Gorman - CFO:
Wael Sawan - CEO:
Sinead Gorman: Welcome to Shell's First Quarter 2025 Results. Just over five weeks ago at our Capital Markets Day in New York, Wael and I outlined the Shell investment case and our longer-term vision for the company. Our aim is to continue to deliver more value with less emissions, whilst rewarding our shareholders with consistency, delivering both competitive and resilient returns. And in Q1 we continued to make good progress. And as we look forward, we remain confident due to both our portfolio strength, and an organization which continues to deliver, guided by our principles of performance, discipline, and simplification. What we hope is now clear, is that we do what we say. As we said at Capital Markets Day, we met our CMD23 financial targets for 2025 almost a year early, and as a result, we've set new financial targets, while we are staying firm on our carbon targets and ambition. Repositioning the portfolio is a key step towards achieving our targets, and we have made meaningful progress in the first few months of 2025. We've completed our divestments of the Energy and Chemicals Park in Singapore and in onshore Nigeria. And, as we said we would, we are growing, but in a disciplined way. We completed the acquisition of Pavilion Energy, strengthening our Integrated Gas portfolio by further expanding our LNG trading and optimization capabilities. In Upstream, we signed an agreement to increase our working interest in Ursa, in the Gulf of America. We already operate this asset, and we're pleased to be able to further consolidate our leading deep-water position. On projects, we took two key final investment decisions. The first is Gato do Mato in Brazil. This will be a Shell-operated asset in the Santos Basin where we are the largest foreign producer. The second is Phase 2 of the Northern Lights carbon capture and storage development in Norway. This will increase the project's capacity from 1.5 million tonnes to more than 5 million tonnes of CO2 a year by 2028. And on operations, in the first few months of 2025 we've achieved significant milestones. I want to highlight just two of them. First, our Penguins FPSO in the UK North Sea is now on line and supplying much-needed natural gas to the region. This modern FPSO is expected to extend the life of the field by up to 20 years. And second, Dover in the Gulf of America has started production. This is the second subsea tieback to our Appomattox hub, after Rydberg, which came on line last year. Now let's move to the financial results for the quarter. We delivered solid results in a price environment that was relatively stable compared with last quarter. Our adjusted earnings were $5.6 billion, up 52% compared with Q4. And we generated $11.9 billion of cash flow from operations, excluding working capital. Consistent with outflows seen in the first quarter of recent years, working capital in Q1 was an outflow of $2.7 billion. Now, turning to our businesses, Integrated Gas production was higher than in Q4, as the turnaround at Pearl GTL was completed. However, liquefaction volumes were lower because of unplanned outages in Australia. Our LNG trading and optimization results were in line with Q4, and that's despite the higher non-cash paper losses recorded, which we highlighted would be seen across the first three quarters of the year. Upstream had a strong Q1 with continued high controllable availability. Norway, Nigeria offshore, and Kazakhstan all delivered above 98%. In Marketing, Mobility and Lubricants performed very well as both continued to further increase premium product margins. However, the low-carbon option businesses continue to operate in a difficult macro environment, which we highlighted at CMD. Chemicals also continued to see low margins this quarter. But with the divestment in Singapore, we expect that the Chemicals earnings contribution will improve. In Products, the contribution from trading and supply improved relative to the previous quarter, and was at similar levels to Q2 and Q3 of last year. So, overall, a solid set of results in the first quarter of 2025. We are now into the second quarter, and there are significant macro uncertainties. But our approach remains the same. We're following through on the long-term direction we set at Capital Markets Day. At times like this, the importance of a strong balance sheet and a robust financial framework are critical, and we have consciously positioned the company over the last few years leaving us well placed. In Q1 our net debt position increased, reflecting lease additions from Pavilion, and a drawdown from the loan facilities provided at the completion of the Nigeria onshore divestment. These are all known items and our balance sheet continues to be one of the strongest in the industry. Moving on to shareholder distributions, today we have announced a $3.5 billion share buyback program, which we expect to complete by the time of our Q2 results announcement. This makes it the 14 consecutive quarter in which we have announced $3 billion or more in buybacks. With this new $3.5 billion share buyback program we are well within our enhanced shareholder distribution range of 40% to 50% of CFFO, a range that you can expect us to deliver on through the cycle given our low distribution breakevens, $40 Brent for dividends, and buybacks continuing at $50. To summarize, in Q1 we delivered a solid set of results in a relatively stable price environment. Our portfolio transformation is progressing, with several major achievements during the first few months of 2025. Looking ahead, we are confident in the direction we have set and the strength of Shell to deliver for our shareholders through an uncertain macro. We will continue to focus on operational performance, be disciplined with cost and CapEx spend, and drive competitive and resilient returns. And most importantly, deliver on what we say. And finally, we hope that shareholders who are able to attend, either virtually or in person will join us for our 2025 Annual General Meeting which will take place on May 20. Thank you.
Wael Sawan: Thank you very much for joining us today. We hope that after watching this presentation, you've seen how we delivered a solid set of results in the first quarter, how we made meaningful progress in repositioning our portfolio to deliver on our targets, and the strength of the company to deliver through an uncertain macro. Today, Sinead and I will be answering your questions. And now, please, could we have just one or two questions each so that everyone gets the opportunity. And with that, could we have the first one, please, Luke?
Operator: Our first caller is Josh Stone from UBS.
Josh Stone: Hey, thanks. Good afternoon. Two questions, please. While you've talked in the past about being wanting to be more counter-cyclical in how you allocate capital, and you've clearly demonstrated that in the good times by being quite prudent with your capital spending, it just strikes me that in a downturn or potential downturn, it requires a lot more resolve to start spending more money or maybe sustaining the buyback. So just talk about your latest views on that and commitments to being more counter-cyclical. And then second question on integrated gas. Trading looks to be a decent quarter this time around, particularly if I adjust for the hedging losses. So some of your peers have talked about it being more difficult to trade in gas because of event risk and sort of more jitteriness in the markets. So what's been your experience there and what's your approach to putting on risk and putting risk on the books today? Thanks.
Wael Sawan: Josh, thank you for those two questions. Let me take the first one and ask Sinead to answer the second one. On your question around sort of counter-cyclical capital allocation, I think let's start with what we're trying to do. We have said that we want to be able to unlock the full intrinsic value potential of this company, and we have said that free cash flow per share is going to be the key proxy, our North Star, that we're going to drive towards. As you rightly say, what we have been doing over the past few years is in essence getting ourselves leaner and fitter for exactly the sort of uncertainty, for exactly the sort of cyclicality, which of course was inevitable. It's just -- we didn't know when it was going to happen and what's going to trigger it. But I'm very glad that we are where we are today. Now, the good news is, of course, as we outlined in Capital Markets Day 2025 just a month ago, is that for the next five years we have given a very clear trajectory of 10% plus free cash flow per share growth between now and 2030 on the back of our organic opportunities. Everything else now has to compete with that when we talk about allocation of capital. And so, indeed, in a counter cycle we have a couple of options, of course. We can look at distributions and what we do there, and what we can do is also inorganic. I've said in the past we want to be value hunters. Today value hunting, in my view, is buying back more Shell. Why? Today our share price continues to be advantaged. We said in the past that the free cash flow yield meant it was advantaged, even more so today where things stand. And so you will see us continue with conviction to lead into the buybacks, as we have been doing, and within that 40% to 50% of CFFO range. We will be prudent. Of course, we will keep looking at inorganic opportunities. We have $1 billion to $2 billion in our cash CapEx guidance for that. But the bar is high and we need to be able to see a pathway towards free cash flow per share accretion in a relatively short period. Sinead?
Sinead Gorman: Thank you, Josh. So, indeed, LNG had a very good quarter, as you say, very pleased with the outcome there. Let's take it into its component pieces. So in terms of the assets, the assets performed well. What we saw was some downtime, some unplanned downtime from Prelude, but very quickly bringing it back up. And we also had weather events. So we did see some of the cyclone and different issues there in Australia particularly hit both QGC and Gorgon. That, despite that, we still actually had length. And what that meant was that with demand remaining reasonably strong, we actually had strong margins as well. We were able to optimize around that. So, that's what you saw come through in terms of our results in Q1. Now, if we take it to Q2 on what could happen there, what I'm expecting to see is some planned maintenance. And you've seen us talk about that. You see in the liquefaction volumes in terms of the forecast that we give. And that's planned maintenance as you come into summer. It's what you see us typically do. And it's across a range of assets, whether it's Gorgon, whether it's Oman, LNG, etc., but it's across quite a range of them. So we do expect to see similar volumes to what we actually saw in Q1 as well. Now, as of today, of course, prices are lower than they were in the last quarter. And we'll see how demand plays out accordingly. So, for earnings, you could see if you take the fundamentals and, of course, the hedging, the legacy hedging losses that you mentioned before that we've discussed, you could see that play out in terms of a lower or more pressure in terms of the earnings. That's on earnings. So, what I expect to see is strong and resilient cash. Why do I see it? Well, because those hedges that we just discussed are non-cash. And then secondly, I expect to see some working capital unwind as well, which relates to the first quarter, because actually in the first quarter, what you'll have seen in cash was that actually we had quite high volumes of sales in March and we need to collect that accounts receivable this quarter. So, therefore, really resilient cash in Q2.
Wael Sawan: Thank you very much, Sinead. Josh, thank you for those two questions. Luke, let's have the next question, please.
Operator: Our next caller is Peter Lowe from Redmond Atlantic.
Peter Lowe: Hi, thanks for taking my questions. Yeah, the first was on the CapEx budget. You reiterated it this morning, but can you perhaps talk a bit about how much flexibility that could be there should the macro environment continue to deteriorate? And then the second one was just on the Singapore disposal. Can you help us at all in thinking about the potential quantum of the earnings improvement you will see now that that divestment has completed, particularly in Chemicals? Thanks.
Wael Sawan: Thank you. Do you want to take both of those, Sinead?
Sinead Gorman: Sure. So, on the first one in terms of the CapEx budget, Peter, so we have reiterated our $20 billion to $22 billion CapEx budget. And why have we done that? Well, we've done it because of the position that we're in. We've spent a significant amount of time positioning this company over the last few years to make sure that we are able to manage not just run the company on fundamentals, but to ensure that we position it to be able to deliver through uncertainty. And that's what's happening now. And that's delivering through uncertainty for our shareholders. And therefore, from the perspective of capital, we're not asking our businesses, we're not requesting them to stop on projects to remove themselves from different commitments, etc. We are asking them to deliver on exactly what they said and to perform as we have promised. We're not asking them to step back from a range of different aspects. So we don't believe that at this moment in time, we need to step back within the capital range that we've got. However, if you were to look back what we've done in the past, if you go back to during the COVID times, we demonstrated a strong ability to be able to pull many levers. And you saw, of course, our CapEx budget at that time being below $18 billion. So the flex is there. But that's not the position we're in at the moment. We don't need to do that. And we see great opportunities for value. And you've seen that in terms of some of the deals that we've done. You've just seen us take a further percentage in Ursa, which is, of course, something close to our heart. It's in deep water. It's in the Gulf of America, where our team delivers incredibly well. And therefore, we have asymmetry of data and have the ability to deliver on our own operated asset.
Wael Sawan: Singapore?
Sinead Gorman: Singapore, almost forgot. Thank you. On the Singapore disposal, indeed, just finished this quarter. So what we've said around Singapore is that it was loss making. We do expect that to play out in terms of improvement in both the refinery margin and the Chemicals margin as you take it out of the books. And it will, of course, contribute to our structural cost reductions. In terms of just giving you a bit of a feel for that, it's several hundred million is the impact if you were to take it across the full year. So I hope that's helpful.
Wael Sawan: Thank you for that, Sinead. Peter, thank you for those questions. Luke, the next caller, please.
Operator: Our next caller is Lydia Rainforth from Barclays.
Lydia Rainforth: Thank you, and good afternoon to you both. A couple of questions, if I could. The first one, just we talked about volatility and uncertainty, but given the size of Shell's own network, what are you seeing on real time data in terms of demand, whether it's oil, oil products, LNG, just to kind of give us an indication of some of the fundamentals. And then secondly, on OpEx, progress, again, very, very good. What are you finding when you're taking these costs out? Are you finding it becomes easier and easier to simplify things as you're taking some of those layers out? Thanks.
Wael Sawan: Thanks, Lydia. I'll cover both, I think, on your first question around just where the macro is right now, I think it's fair to say that we are, of course, watching all the potential headwinds there, but we haven't yet been able to translate that from the data that we have. So the data is showing that, by and large, oil products and LNG are holding up from a demand perspective for different reasons. LNG, for example, of course, the low storage levels in Europe have meant that there is quite a large draw into Europe for LNG volumes, and there isn't a huge amount of new supply coming on stream in 2025. And so, that tightness continues in the market. In crude and in products, what we're finding is a well-balanced market at the moment. We keep our eye on a few key signposts. So marine bunker fuel and diesel into trucking are usually the first indicators of broader economic slowdown. We're looking at those carefully. And then thereafter, you start to look at things like, for example, jet aviation, people travelling, or gasoline into passenger vehicles. Again, we monitor those particularly carefully to be able to see what the trends are. And particularly, we're looking at US and China trends where the ongoing tariff situation means that those will be likely amongst the first to be impacted. So that's what we are currently keeping an eye on. When it comes to OpEx, I'm very proud of the organization's momentum on this. I mean, it's been so much hard work. I think I've mentioned in the past, when we put the $3 billion, $2 billion to $3 billion ambition in Capital Markets Day 2023, and were able to deliver a year ahead of time at the top end of that range, this was very much a top-down target. And now what we're seeing is actually the organization starting to bring forth the ideas that could potentially take out costs. And that is starting to play through, and you see it, as you rightly pointed out, in the financials. We're trying to address that from multiple different points, whether it's supply chain and how we sharpen our focus on the supply chain, how we avoid incubating projects that are going to eventually die too long and killing them early, how do we continue to look at the way we are structured as a company, delayer, simplify, how do we simplify the corporate center so that we can become leaner and clearer. So all of those elements are starting to play up, but I would say there is a lot more to do. We are nowhere close to our potential, and that's what I'm keen to really drive over the coming years to unlock the full potential of this incredible company. Thank you for the questions, Lydia. Luke, next caller, please.
Operator: Our next caller is Paul Cheng from Scotiabank.
Paul Cheng: Thank you. Good morning. Well, I just want to follow up on Lydia's question in the sense that Shell is a big ship, and I think you guys have done a phenomenal job in turning it. But at this point, do you think the organization capability or the culture have turned sufficiently that if you decide there's a large acquisition that is attractive for you that the organization could take on, or that it's going to take, maybe that another one or two years to ensure that all the culture, all the changes is really fully synced in? That's the first question. The second question is that in the event if oil price stays really low for an extended period of time, and I say really low, say call it to the $40s, between the buyback and the capital cut, which one will be the first to go? Thank you.
Wael Sawan: Thank you, Paul. Two great questions. I'm going to give the tougher one to Sinead in a second. That's number two.
Sinead Gorman: Thank you.
Wael Sawan: I'll go for the culture question. I want to start by sort of saying we start from a very, very good place in the culture of Shell. The ethical bar that we have held ourselves to, the real care for people, focus on safety, all of these are elements we have been holding on to. And what we have tried to supplement that with is what we call the winning performance culture. It's that next level, it's that hunger to win. It's our ability to be able to move from accepting mediocrity to really, every time we do something, yes, we celebrate, but we very quickly look at what more we can and should be doing. Is that fully rooted in where we are today? No. I'll be honest with you, we have more work to do. What we see is a lot of green shoots. We see multiple parts of Shell starting to really move from let me explain the story of how good we're doing to actually let's park that and look at what the gap is to our full potential as a company. That to me, is the sign of an organization that is going to be the winning organization and we have more work to do in that space despite the excellent progress that we have seen over the last couple of years. You're right to also point out that before we ever look at a sizable inorganic, we have to have our own house in order. So what I would say is in the parts where we have really seen that, where we have seen our capability to be able to really create value through the culture, we are making moves. I'll give you one simple example, Pavilion. Pavilion is an LNG acquisition we did. We had a very clear view that this is a complex portfolio, multiple challenges, would take us several months to be able to integrate into Shell. We closed on the deal end of March. Today we stand in a position where that LNG team has already been able to integrate Pavilion into Shell within weeks. That, to me, is an example of where the culture is thriving and that is where I'm willing to bet on inorganic opportunities where we know we can unlock more value through bringing that asset into Shell because we have that comparative advantage and we have the culture and capability to do it. Sinead?
Sinead Gorman: Indeed, and then your second question was really around if oil prices are low at $40, what are we going to do? Well, on that one, Paul, we were very careful and we discussed it long and hard before Capital Markets Day to actually be able to frame it for you in Capital Markets Day because we knew that there is always uncertainty and we wanted to be able to show you our frame, our thinking for after, if prices were to move from $70 down to that sort of level. Let me take you through it in terms of $50 first. So, at a $50 mark, what we've said is assuming we're at $50, our CFFO would be roughly speaking somewhere between $35 billion to $40 billion. In that world, we have a number of levers. We can pull the lever, of course, of CapEx, which you've mentioned. We can also, of course, use OpEx. We can pull on divestments, although that can be difficult at that point in time. And of course, we can consider our distributions. For us at $50, what we've said is we will continue share buybacks at $50. So what we've given you the model of is to basically say, we'll pull a little bit on our CapEx, so we'll bring it down and we know we can. I just gave you that answer earlier in terms of Peter's question. We would also continue to maintain the buyback at that point. What we've modelled out is at 40%. So our distribution range is 40% to 50%. So, assuming we have somewhere between $35 billion and $40 billion of CFFO, that comes out at $8 billion on our dividends and roughly some $6 billion to $7 billion of share buybacks. But we would continue doing buybacks at that level and we would have the ability to lean on the balance sheet from a small amount given the strength of our balance sheet today. So that tells you how focused we are on that buyback. You then move to a $40 world and what we showed you there was we showed you the paradigm of $40 for a long period of time, assuming that our CFFO came down below the $35 billion or roughly around the $35 billion mark. Again, assuming that we distribute towards the lower end of our range at that point and we do 40%, we will be easily able to cover our $8 billion of dividends just roughly using rough numbers. But of course, for us, the important thing is to be able to try and maintain the buyback as long as we can. And hopefully, that's what you see our focus is. Of course, in those sort of worlds, you would see our share price going down as Wael alluded to earlier. It's a great position for us to be in at the moment. With a $3.5 billion buyback, we're buying back even more shares than we were before because the price has come down. It's a great allocation of capital. And that's what you'd expect us to see and continue to look to do as prices continue to come down.
Wael Sawan: Thank you for that, Sinead. Paul, thank you for those questions. Luke, next caller, please.
Operator: Our next caller is Biraj Borkhataria from RBC.
Biraj Borkhataria: Hi there. Firstly, thanks for the comments around the financial frame and that $50 scenario. That's really helpful. I wanted to ask a question or two questions. The first one is just on the various deals you've done. You've done a number of small deals where some are closed, some are to come, and not all of the financial magnitude is disclosed. Could you just help us understand the sort of cash impacts of these? It's still not clear to me what you paid for Pavilion. And then you've got the Singapore sale and a few others. And then the second question is just on in the upstream, thinking about OpEx and DD&A, now that we deconsolidate Nigeria from the portfolio, is the Q1 run rate sensible or how should we think about that going forward? Thank you.
Wael Sawan: Thank you. Do you want to take this?
Sinead Gorman: Sure. Yes, so in terms of -- two parts, Baraj, on Pavilion and Singapore. So the way I would look at it in terms of the cash impact on Pavilion, you saw we haven't disclosed the price that we give on it, but you can see in terms of how it plays out, it's largely a small amount of capital went out for it, but it's largely the leases that come through. So you saw that in our net debt and you saw it was below a $1 billion, but you see it in that sort of range. So that will flow through. I wouldn't expect much impact in terms of really impacting the earnings from Pavilion this year. You'll start to see it in 2026 and that's just the way contracts play out. Then on Singapore, the divestment, you saw it in our divestment proceeds, so you would have seen divestment proceeds of roughly speaking $600 million for this quarter. That is largely Singapore and there's a little bit of small items like Iraq loan repayment and things like that, but you see that coming through. What we've disclosed on that is that we have the -- Singapore was loss-making. So you will see us have basically a price, it's irrelevant to price, you will just see free cash flow and intrinsic value have improved as a result of that transaction. And then the other one that you didn't mention, but I suspect is also on your mind is SBDC, so the Nigerian divestment. If I were to take the Nigerian divestment and the Singapore divestment together, they're roughly speaking neutral in this current price environment. So my free cash will be roughly neutral. What I'm probably more interested in is the fact that I will obviously have, and you were going there, the impact on OpEx. So you haven't seen my OpEx improvements yet in terms of either Singapore or SBDC, only a small amount of that came through in the quarter. You'll start to see that come through throughout the year and of course it will take us a while as people move out. That was on the first one, and partially on the second. So in other words, yes, more to come on OpEx. And then in terms of DD&A, you did start to see that come through this quarter. Baraj, you'll have seen that one of the improvements that we saw on upstream was of course lower well write-offs versus Q4, but also lower depreciation and that's also linked to the reserves. So just as you saw us come through in Q4, we updated our reserves number. So good catch on that.
Wael Sawan: Thank you, Sinead. Thank you, Baraj, for those questions. Luke, next caller, please.
Operator: Our next caller is Giacomo Romeo from Jefferies.
Giacomo Romeo : Yes, thank you for taking the question. If I can go back to the Pavilion acquisition, I'm just trying to understand a bit better why you don't expect to see an impact on earnings this year. It was just Pavilion not generating any profits. And what changes next year in terms of contracts? Just trying to understand what are the moving parts there that actually drives your ability to extract profit out of what you're getting as part of the Pavilion deal. And on the $50 scenario, you represent a better year in the CMB slide as well. And you mentioned that you would see the potential for reducing CapEx a bit. You show that in the chart there. Which areas would you be seeing the reduction? Can you provide more clarity there where you would prioritize CapEx? That would be helpful. Thank you.
Wael Sawan: Thank you for that, Giacomo. Let me take the second question first and then if you want to come back to the Pavilion point. What I want to avoid doing, Giacomo, is almost locking myself down for one reason. I think the biggest thing we have tried to do is to become much more dynamic in our capital allocation at Shell. And what we used to do was sort of worry about, does the capital dollar go into upstream or into downstream? What we're trying to do now is to say, does that capital dollar go into either of those or into inorganic or into more buybacks or into deleveraging? We're trying to make sure that we are always dynamic in looking at where the market is and looking at where the best opportunities are. Now, having said that, of course, there is a maintained level of capital. And the proxy that Sinead used earlier, the less than $18 billion, which is where we were in the COVID times, gives you a sense of what is a healthy maintained level. Today, we're talking about a range of $20 billion to $22 billion, which, of course, has growth embedded in it. Important to recognize there's $1 billion to $2 billion of inorganic capital that is available to us in that context. Now, in that environment, we can either choose to deploy that capital because we can create countercyclical value, lifecycle value for our shareholders, or we can pull it back if we still don't see the opportunities. And so what I would say is, trust us to continue to be prudent in making sure that every dollar of our shareholders' capital is looked at with the rigor that you would expect of us, making sure that we take advantage of the opportunities at the right points in the cycle, and where we don't see those opportunities, to make sure we hold on to that capital, as you have seen us do at the right points in time over the last few years. Sinead?
Sinead Gorman: And in terms of Pavilion, Giacomo, really what I'm trying to say is what our traders do incredibly well is being able to have flexibility and access. So, as Wael said, we've managed to integrate this into the company very rapidly. They've done great job on it, but it's a series of contracts. So, there's a mixture of contracts and assets that come with it. Those contracts include both derivatives and physical, and they have different timing impacts. Therefore, you see that really play out whenever those all come in together, and that's really towards next year. So, there's lots of puts and takes on it, which will determine value. We also, of course, have the physical side of it. We have five vessels, we have a number of re-gas, access to re-gas terminals, etc. By being able to have that flexibility, to be able to optimize, that's where they truly make money. And of course, it's just the timing of when they get access to those and how full they are, etc. So pleased with how it's been integrated so far. I'm really looking forward to them deriving the value that they've promised us, and that will really be into 2026.
Wael Sawan: Absolutely. Thank you for that, Sinead. And Giacomo, thank you for your questions as well. Luke, next caller, please.
Operator: Our next caller is Henry Tarr from Berenberg.
Henry Tarr: Hi there, and many thanks for taking my questions. I wanted to ask about marketing. Both mobility and lubricants had a very strong quarter, which certainly suggests underlying demand. We haven't seen a slowdown so far, as you mentioned earlier. I just wonder whether there's anything else going on there from a sort of self-help perspective, as we think about modelling out for the rest of the year. And then maybe sectors and decarbonization to sort of round it out. The environment remains pretty weak, and we're seeing a decline. Are there any signs of life at the end of the tunnel for this business?
Wael Sawan: Thank you. I think one sort of broad question, did you want to address that?
Sinead Gorman: Yeah, certainly. So, in terms of, indeed, strong quarter for our marketing business, so very pleased to see that it was higher than Q4, as you say. Let me break it into those three parts that you alluded to. So, first of all, on mobility, it was actually quite similar to Q4, but actually good for Q1, because we haven't come into driving season yet. They're doing a great job in terms of making sure exactly that self-help point. So the driving cost down, focusing in on advertising, focusing in just on every dollar that they spend, but also on the premium products. And that's where you start to see the margin coming through. So, significant progress there, and I look forward to seeing further throughout the year. On the lubricant side of things, it was, indeed, it was a good quarter for lubricants. And we saw strong margins really driven by that premium lubricants that they've been selling. They're doing a great job on that. And frankly, last year was sort of their best year ever, and we continue to see them hit new records. So, looking forward to seeing exactly what they can do next. Sectors in decarb, a bit different. There's obviously component pieces to that, but it was more challenged, as you say, particularly this quarter. It's difficult across the whole environment. So, there's a couple of things in there. So, we see pockets of strength, of course, in terms of trading. So, we did see some of the uncertainty and some good pockets of making money through our trading organization, particularly in the US, in advance of the tariffs coming through. But of course, we also see challenges in places like Ryzen, which in Brazil, it's a difficult environment, difficult crops at the moment, and of course, just high interest rates. So, mixed space there, and we look forward to watching the space very closely to see how that continues to develop. For us, biofuels is something that we can optimize around our traders, but also, of course, the short that we have within our own mobility as well. But we watch the space closely, given how tough it is.
Wael Sawan: Thank you, Sinead. And I have to say, very proud of how our marketing organization is showing up with all the focus on the transformation that they have been through. And I expect a lot more to come. Thank you for those questions, Henry. Can we go to the next caller, please, Luke?
Operator: The next caller is Matt Lofting from JP Morgan.
Matt Lofting : Thanks for taking the questions. Two quick ones, please. Shell has a substantial business in the US across the value chain. I wonder if you could share any perspectives you currently have on the direct impact of the tariff framework, at least it stands at the moment, and whether there is any specific assets where you see potential effects. And then secondly, if we combine the upstream and integrated gas business, there is a track record over the last four to six quarters of beating consensus expectations. To what extent do you see that as fruition of the performance improvement agenda over the last couple of years? And how sustainable do you see that performance going forward? Thank you.
Wael Sawan: Matt, thank you for that. Let me take the first one and then ask Sinead to address the second one. Yes, we have a very material position in the U.S. We're the largest player in the Gulf of America. And I think really pleased with the positions we have there, some of the best zip codes in the Gulf. We are, of course, also the largest offtaker of U.S. LNG. And of course, a significant presence in Shell Pennsylvania and Shell Polymers Monaco, which is our petrochemical facility. So indeed, we have good line of sight to things there. What I would say, maybe starting with the global picture around tariffs, is we at the moment see a relatively limited impact to us and what we see is manageable. Of course the, call it first order impacts are more related to the supply chain than they are related to energy product sales. And so what we're doing is we're looking for mitigations around that. As an example, in the U.S., Sparta, one of the major facilities we are developing, already had a significant portion of their steel purchased well before the tariffs hit. So there was a lot of work that was ongoing in anticipation and therefore to mitigate and de-risk some of these issues. The bigger question we are looking at when it comes to the tariff impact is, of course, the second order impact, what that means to the real economy, what it means to supply demand. That of course, has a lagging impact. It's unlikely to be within a quarter or two. But as we look into 2026, that's what we keep our eye on in terms of how it plays out. But so far, knock on wood, it has been very manageable and the teams are doing well to be able to make sure there is very limited pain to the organization.
Sinead Gorman: Yes. And in terms of integrated gas and upstream, I think thank you for recognizing what the teams have done, Matt, because if you take it back to Capital Markets Day 2023, what we said to you then was that if we own these assets, we're going to run them well. We're going to be the rightful owners of these or we shouldn't be in them. And what you've seen are both our integrated gas teams and the upstream teams do is take that on board. They are running very, very hard and they're not just running hard to drive down cost. They're running hard to maximize performance. And they do it with the lens that they know what the competitive benchmark is. They're very much focused around performance, discipline and simplification that allows them to free up the thinking as to where they should spend their time. And one example of that is we know there's going to be uncertainty. We know that issues can occur. But when something goes down is how quickly can they get it back up and running? And Prelude is a wonderful case in point, which we've seen since the turnaround that it will go down. If it goes down, how quickly can we get it back? And it's 60% less time to get it back up again. So that focus means that we're driving for cash. We're driving for every single dollar. And that's what this team is doing. So they're managing through the uncertainty. They continue to have that drive that wish to perform. And it doesn't matter which part of the world you're talking about, that competitive spirit is there. And I think it's going to continue.
Wael Sawan: Very much so. Thank you for those questions, Matt. Now let's go to Luke for the next caller, please.
Operator: Our next caller is Martijn Rats from Morgan Stanley.
Martijn Rats: Hi. Hello. I also have two questions, if I may. I wanted to ask you about the market conditions that you see for disposals. I can imagine that with all the uncertainty that exists, it may have become more difficult to execute some of the disposals that you're still working on. But hard to know. I was wondering how you see that, how you see basically the disposal market. And then secondly, slightly more practical, perhaps. But I was wondering where we are now with LNG Canada, because it looks like we're sort of relatively close to the start-up, and how we can expect the quarterly earnings stream to be impacted by that project.
Wael Sawan: Thank you. I always take the LNG Canada question, but I'm going to hand it over to you this time, Sinead, and I'll quickly touch on the disposals. The biggest thing I'd say, Martijn, is thankfully we have been working for the past two years to get well ahead of this, right? I mean, if there's one thing that I'm most proud of in Q1, yes, the results were great to see, but I'm very proud of the culmination of significant effort for a number of years to be able to, in essence, move beyond Nigeria onshore. A huge, huge undertaking, and congratulations to the team for completing that. Singapore, energy and Chemical Park, another major achievement. And of course, Pakistan. Those were the biggest elements of our disposal program. While others today are looking to dispose to be able to make their financial framework work, our focus now can be very much on actually delivering what we have promised, delivering the 10% plus of free cash flow per share growth, by the way, the majority of which is not correlated to oil price. And that is the position that I think is particularly nuanced for us. The majority of that 10% is coming from, well, 5% to 7% comes from buybacks, and the rest is absolute free cash flow growth, which is not needing to be correlated to oil price because it is self-help from OpEx, flexing on CapEx as and when we need to. And a lot of it is the transformation of downstream and renewables. It's the improvements we mentioned in Capital Markets Day 2025 and marketing. It's the uptick that we expect for chemicals. It's our ability to turn around the res business. And that doesn't even include the upside that we see for trading in a volatile environment. And so that is very much where we are today. And that's why, as we, of course, look at continuing to churn through the portfolio, the big ones are behind us.
Sinead Gorman: Yeah. And on LNG Canada, indeed, we're really pleased with the progress so far. And of course, you saw the commissioning cargo come in to be able to test all of the different aspects of the facility. And we're still on track, of course, for the first cargo intended in the middle of this year. I won't comment on earnings because, of course, from our perspective, what we're really interested in is not the first cargo. We're interested in when it ramps up, because by the time that's when it really starts to have a sizable impact into our numbers, both in terms of liquefaction volumes, but actually both earnings and cash. So I'm much more interested in where we get to towards the end of the year.
Wael Sawan: And a reminder, of course, it's two trains. So you're going to have the first train starting up and then there's a lag until you get to the second train. So, I think you will see more of that flow, of course, coming through and the earnings impact in due course. Thank you very much, Martijn. Can we go to the next question please, Luke?
Operator: Our next caller is Roger Read from Wells Fargo.
Roger Read : Yeah, thanks. Good morning or good afternoon, as the case may be. Maybe come back to the sort of resiliency question in a slightly different tact. So at the Capital Markets Day, you laid out the cost savings goals. Presumably, in a lower oil price environment, you would have a little more urgency to get that done. So I'm just sort of curious how you're thinking about it that way. And then the second question or follow-on with that is, with the environment you're describing, obviously, the cash flows and buying back shares is important, but how would you think about allocating on acquisitions in addition to thinking about the overall resiliency and the dividend and so forth?
Wael Sawan: Let me take the first one, and then ask Sinead to address the second one. I think, let's go back to what we've been saying, Roger, for the last couple of years. I think, hopefully, what you've heard me say is we know this is a cyclical industry. We know there is going to be uncertainty and therefore we believe there's three key characteristics of a winning company. It's making sure that we are consistent, it's making sure we're resilient and it's making sure that we are disciplined in our capital allocation. All of that is underpinned by just being lean and fit. And that's where the cost agenda plays in. I can tell you there is absolutely not any more urgency on the cost agenda than there was a few months ago because the cost agenda is a critical agenda, not just to be able to weather whatever choppy waters we're going into, but actually the cost agenda, in my mind, is an example of whether Shell deserves the alpha when it comes to operations. We need to be able to demonstrate that this is a company that has that operational alpha on a consistent basis and the cost is an important metric in that. And this is not cost cutting for cost cutting's sake. We are willing to put more costs in the areas where we can unlock more value, but really being very focused on where there is waste in the organization, where can we enhance productivity. And that's playing in through AI, through what we're doing in that space, supply chain. We still think there is a lot more to go in the supply chain space and I can tell you there is a massive amount of urgency in the organization. And that will continue, not just for the $5 billion to $7 billion, but as we continue to really build that muscle of being the best we can be at Shell. Sinead?
Sinead Gorman: Indeed. So thank you, Roger. And yes, your question around buybacks versus acquisitions, look I think we've been very clear that value creation is the key. It's the North Star of what we're going after and of course that's why we say free cash flow per share is the measure that we do. So everything we do has to rank against basically the shares and the buying back of the shares. And we've just talked about the fact that as oil prices have gone down, they've actually got cheaper. So it's an even better capital allocation for us. But there's no reluctance from our side in going after value elsewhere. We're not afraid to go after it, but the bar is incredibly high. And of course you see that. We have the option of course within our own organic portfolio as well. And just to remind you, even when we looked at the upstream portfolio that we drew out in terms of what sort of projects we'll start delivering before 2030, we give you examples of projects which on average had break-evens of $35. So you can see how attractive even our own portfolio is. We then of course have those buybacks that we just discussed which are incredibly cheap and therefore it's a good allocation of capital. And then finally we have of course M&A. So we have that option to be able to go there. We're incredibly well positioned for that. So if you remember where our balance sheet is, we've positioned the balance sheet such that we have more than $35 billion of cash. We have lines of credit that we could utilize if we need to, but it's just not something that's on our mind because we have all of the options available to us. So yeah, well positioned to be able to go after wherever we see value, whether that happens to be the buybacks even further or whether that happens to be in terms of acquisitions. Nice position to be in.
Wael Sawan: Thank you, Sinead. Roger, thank you for those questions. Luke, next caller please.
Operator: Our next caller is Christopher Kuplent from Bank of America.
Christopher Kuplent: Thank you. Two questions for me as well, if I may. And while this is coming from not a cynical place, but you mentioned earlier that perhaps the problem in the past was Shell's culture, happy to accept mediocrity. Maybe I would put it differently and ask you, isn't some of the biggest weaknesses or has been in the past, I'm always going to call it hubris, i.e. we can do this, no one else can. And I want to ask you about the Rotterdam decision that you've taken. Can you give us an update on that? Where you're stepping back from things that perhaps five years ago had been part of the overall Shell ambition? So open question. And as I said, it's not coming from a cynical place. And the second question perhaps to you, Sinead, you presented just a few weeks ago a marketing capital budget of up to $3 billion. And in the first quarter, I see marketing spent $250 million. What did you do to these people? How much lower can it go in terms of explaining that very light capital allocation in just Q1? Are there any funnies in there? Just a quick follow up, please. Thank you.
Wael Sawan: Thank you for that, Christopher. You never come from a cynical place. I absolutely don't have to sort of proceed that. Look, from a cultural perspective, you can call it hubris or whatever. I think at the end of the day, what happened was we took quite some risk in particular with our capital allocation that in retrospect, as we've done a lot of the reviews to learn, because there's a lot we've learned over the last 20 years. And a lot of that has actually helped shape the way we're thinking about the organization right now. The fact that we have such an incredible technical capability almost meant that we can drive more and more complex projects with an assumption that the risk was going to be linear. And of course, it wasn't. It becomes logarithmic. And what typically catches us out is not the theoretical perfection of building a project. It's all the realities around it. It's the supply chain disruptions. It's permitting delays. It's the market changes why we're building this facility. It's the cumulative risk of putting multiple units together and then figuring out that it is more challenged. That is the issue. So what we have tried to do is to go for much more digestible opportunities and really look at the appropriate risk-adjusted returns for our investments. Really become much more forensic. Today, when I get a business proposal, there's a few things that are different than what it was in the past. One is we have a full-time red team that is looking at the counter view of why we might be wrong with this to really challenge our basic assumptions. That was something we learned from BG and instituted in Shell. A second thing we do is we look at track record. What is our track record in that space? And the third thing we do is what is the alternative use of that capital? In the context of the Rotterdam project, to be specific on what you described, yes, we looked at the market around us. We saw length in biofuels in particular coming from the U.S. We saw backtracking on mandates in Europe. And we saw a volatile environment. And to simply just plough on and put more capital is not wise capital allocation. We have a responsibility. Sinead and I have a duty of care to our shareholders in the way we discharge their capital. And that's why we felt at the time we pause it. And it's still under pause as we look at the broader environment around us and what we can do with the project to see whether we are able to justify investing more in it. Sinead?
Sinead Gorman: Thank you. And I think actually a lot of what you said is particularly relevant here in terms of marketing. So, Chris, if you were to look back at, of course, Q1 last year as well, what we have seen, of course then was that it was the lowest CapEx spend for the year as well. So, Q1 tends to be for marketing, much lower than elsewhere. So I wouldn't say we've done anything per your use of phrasing to the team. It's more actually they're really stepping up and exactly where Wael went to. They're very much focused on just what are the alternative uses and they've raised the bar themselves. So part of it is phasing, part of it is raising the bar. And the other part is the dynamic capital allocation you mentioned actually in one of the earlier ones. They're very clear that it's not their CapEx. So, that's a bit of a change from in the past as well. It's much more it's about the group and what can we do with that. So, we're not being dogmatic about where we put the CapEx. We're looking at what are the comparatives, exactly what you said. Should we be doing buybacks? Should we be holding it? Are there more opportunities in upstream as an example as well?
Wael Sawan: Thank you, Sinead. Chris, thank you for those questions. Luke, next caller, please.
Operator: Our next caller is Lucas Herrmann from BNP Paribas.
Lucas Herrmann: Yeah, thanks very much, and afternoon to you both. Thank you very much for the call. A couple of my bytes. I just wanted to touch on Chemicals. And you've mentioned certain assets are up for strategic review. I just wondered whether, you know, how the market or the broader chemical markets responded to those comments and where you were left? And in line with that, your guidance on utilization for this quarter of 74% to 82%, especially, should I think of that as being unusually low? I know it's not dissimilar to the last quarter, but I guess I'm slightly surprised that perhaps the levels aren't increasing. And beyond that, a really simple one for you, Sinead, just on disclosure. I suspect you're trying to simplify things, but a lot of the marketing sheets have disappeared, which I presume is intentional. But one of the numbers or some of the numbers that have disappeared as well are the breakdown of net income by mobility, route [ph], taxes and de-carb, which makes life monitoring, return on capital, et cetera, exceptionally challenging. Intentional or just omission?
Wael Sawan: Nothing that Sinead does is omission there, Lucas, but I'll leave her to respond to that. Chemicals, I think just to sort of reground us all, macro conditions continue to be very challenged and likely will be challenged for the coming months and years, in particular, as we see the build-up in China. And so what we get to is a strategic decision to be able to move forward in that regional approach that we outlined in Capital Markets Day 2025. And looking at how we can do that, we didn't -- you didn't hear us talking about an outright divestment because of those difficult conditions. And we talked about strategic and partnership opportunities to be able to do that. Now, since, of course, we went public with Capital Markets Day 2025, I'm pleased to report that there are -- we have had a lot of inbounds of interest, and we're in the midst of a process right now to be able to have those discussions, because this is not a simple who is bidding highest for this. This is much more of a discussion around what is the structure that is going to make sense for us, what are the exposures we want to see, and we will take our time. We have said we want to take, through the coming years to be able to make sure we get the best deal for our shareholders, and that is something we will honor, because this is not by any stretch of the imagination that we want it to be a fire sale. This has to be value creating for us to the best of our abilities. On your point around the 74% to 82%, what of course, is always challenging when we give these numbers is we're basing it on our assumption around where do we actually want to have the facilities running and where are we switching it off, because right now the margins mean that we are cash negative. And so that's why you continue to see us in the way we report it. This is choice points where we actually switch off certain units to be able to make sure that we're not bleeding cash when we can avoid it. And the biggest, of course, indicator of all is what's happening in Shell Polymers Monaco. I can say that in Shell Polymers Monaco, the performance continues to be strong in the way they are producing. And there it's a question of continuing to premiumize the sales of our products. Sinead?
Sinead Gorman: Indeed, and Lucas, indeed, it was intentional. It wasn't by omission. Yeah, and you're spot on. It was very much about focusing in on just simplifying our reporting. So it's both an acknowledgement of how much we give in terms of disclosures of just an awful lot of data that many people don't use and relative to our peers. But probably more importantly, it was about actually just the work that goes into producing it. So for us, what we've done is we've given you the sub-segment for marketing at the adjusted EBITDA level. So you get that quarterly. And of course, we give you the capital employed also at that sub-segment level annually, which is when it really matters, given the level of CapEx that we've got coming through. That's important, of course, so that you can see exactly per your point back to that Rwachi disclosures or the targets or the views, ambitions of where we wanted to go to later on. So you can see that coming through and you can measure us against it. But one of the just without boring you on the detail, Lucas, we were really struggling with being able to give some sensible allocations of things like tax between mobility versus lubricants versus biofuels, for instance, in a specific country. It just didn't make sense. We were spending so much time and effort and cost on doing it versus the value that you get out of it. So nothing more than that, than a simplification effort.
Wael Sawan: Thanks, Sinead. Lucas, thank you for those questions. And Luke, can we go to the next question, please?
Operator: Our final caller today is Doug Leggate from Wolfe Research.
Doug Leggate: Thank you. Good morning from New York and good afternoon over there. While you're on, Sinead, I know you talked earlier about the importance of per share growth targets, the 10% you talked about earlier. But there is an underlying assumption in there, which is a flat real oil price at $70 and a buyback pace. So my question is, to what extent would you be prepared to lean on the balance sheet to maintain the current buyback pace? And if not, what would that mean then for your per share targets if the flat real oil price scenario did not play out? And I've got a quick follow up, please.
Wael Sawan: Good. Well, I'll say a few words and then, Sinead, if you want to pitch into this last question as well. Look, I think there's a few things there, Doug that you touch on. Firstly, the 5% to 7% that we're assuming is going to be the buybacks that are underpinning the per share growth. If anything, at the moment, of course, we're on the upside to that because what's happening is as we see that our shares are even more advantaged in today's environment, we continue to be able to buy back at healthy levels. And therefore, I would like us -- I'd like to see us achieving comfortably that 5% to 7% going forward. To the fundamental of your question -- to the fundament of your question around are we comfortable leaning on the balance sheet? Yes. Sinead said it. I've said it. I mean, we have built the balance sheet for the purpose of being able to transact on a daily basis with our big trading outfit, but also to be able to do exactly this at exactly this point in time, which is create shareholder value. Whether that shareholder value is best created through more buybacks or whether that shareholder value is created through an inorganic or the like, that's what we talk about dynamic capital allocation. Important not to forget the other part, the top line of the free cash flow per share growth. That top line still has a lot of running room. As I mentioned earlier, that is not correlated to oil price. And that's not even including elements like our integrated gas portfolio and what growth it's going to give us. And just the downstream renewables upside that we have and the self-help on both OpEx and CapEx is what will underpin that 10%-plus that we continue to see resilient through much lower oil prices as well. Did you want to add to that before?
Sinead Gorman: I think the only thing I would say is just to reinforce the balance sheet has been positioned, the portfolio has been positioned. That's exactly what we've been doing over the last couple of years. So in terms of the portfolio, even just Singapore divestment that we alluded to or discussed earlier Doug, that is not about flat price. By taking that out, we've talked about the fact it was loss making. That is actually loss making asset that comes out and therefore increases the free cash flow as it comes out. That's totally irrelevant to or totally disregarding price. That will happen anyway. OpEx, CapEx, whichever you mentioned. And then in terms of the balance sheet, just to remind you, we're sitting at 7% gearing if I exclude leases. So we are very well positioned to be able to lean on that balance sheet. And you've seen us do it before in quarters where we've needed to and we will continue to do so.
Wael Sawan: Thank you, Sinead. Doug, did I hear you saying you had something else?
Doug Leggate: Yeah, a very, very quick follow-up is hopefully my second question. And it's on the $5 billion to $7 billion cost savings. I just wondered very quickly, Wael, if you could tell us where you are on that range now that you've had the portfolio changes in Nigeria and Singapore as Sinead just mentioned. I'm just trying to figure out how much of the $5 billion to $7 billion is portfolio related and where you would consider to be on the run rate of that today. Thank you so much.
Wael Sawan: Thank you very much, Doug. Did you want to take that last question?
Sinead Gorman: Yeah, I think I'll keep it simple, Doug on it. The $3 billion already delivered by the end of 2024 was in effect, as you know. The first year was much more on the portfolio side. The second year was much more moving towards actually just structural changes. We'll give you a formal update at the end of Q2. But what we see primarily into the second part, which goes towards delivering the $5 billion to $7 billion, it's much more about the way and the changes through the company, so the way we run the company. But taking out both of those assets has removed several hundreds of millions from OpEx. That will only happen, of course, as you run through the year. It's not as though it happens immediately because, of course, there are both internal changes and people need to move over, as do the assets. So good progress and convinced that we will deliver our target.
Wael Sawan: Thank you very much, Sinead. Thank you for that, Doug. I think that brings us to the end. Thank you all for your questions and for joining this call. In conclusion, we delivered a solid set of results in this first quarter and announced another $3.5 billion of share buybacks, which makes this the 14 quarters in a row with announced buybacks of at least $3 billion. Looking ahead, given our track record of delivery and our strong balance sheet, we head into the rest of the year with confidence as we continue to deliver more value with less emissions. Wishing you all a very pleasant weekend. Thank you for joining us and look forward to catching up again soon. Thank you.